Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Weatherford International Second Quarter 2021 Earnings Call. All participants will be in listen-only mode.  After today's presentation, there will be an opportunity to ask questions.  As a reminder, this event is being recorded. I would now like to turn the conference over to Mohammed Topiwala, Director of Investor Relations and M&A. Sir, you may begin.
Mohammed Topiwala: Welcome everyone to the Weatherford International second quarter 2021 conference call. I'm joined today by Girish Saligram, President and CEO, and Keith Jennings, Executive Vice President and CFO. We will start today with our prepared remarks, then open it up for questions. You may download a copy of the presentation slides that correspond with today's call from our website, Investor Relations section.
Girish Saligram: Thanks, Mohammed, and thank you all for joining our call today. We will start on Slide 3 which highlights our exceptional performance in the second quarter. We came into the quarter with good momentum and I'm very proud of our team for carrying this forward and delivering on all our priorities. Overall, we delivered above the expectations outlined in our last call, kept pace with larger more diversified industry players and made significant headway in our efforts to create a business capable of sustainable profitability and free cash flow generation, generating $48 million of free cash flow in an interest paying quarter while driving significant margin expansion is a testament to the laser focus on cost and cash we maintain. We have talked in the past about our approach being to plan or flat activity and then take advantage of activity improvements, which provide greater fall through, and our Q2 results demonstrate the positive outcome of that strategy. In addition to the financial results, we had several remarkable achievements in safety, which is at the core of our operating culture. We continue to reduce our total incidents and achieved zero recordables in June. As an example of our commitment to safety, I'd like to highlight our Middle East operation, where we delivered 10 years of completion operations and 20 years of liner-hanger operations without any lost-time incidents for a major national oil company. Separately, we are honored to receive the Kuwait Oil Company CEO HSSE award for logging and perforation services. We saw activity increases across all our geo zones in the second quarter that drove sequential growth. This includes our North America geo zone which overcame seasonal slowdown in Canada. I am particularly pleased with our EBITDA performance as we delivered an outstanding quarter with EBITDA margins of 15%, an improvement of 280 basis points sequentially. We have previously highlighted that 15% EBITDA is a goal for us over the next several quarters, and while achieving it this quarter proves the feasibility of that ambition. We recognize we still have work to do to ensure its sustainability. We did have some one-time items during the quarter, but even without those our margins picked up significantly and we are on our way to sustainably generating 15-plus percent EBITDA margins. Most importantly, our cash performance was terrific with the company generating $48 million in free cash flow, putting us on track for another full year of positive free cash flow, which would be a fairly remarkable achievement.
Keith Jennings: Thank you, Girish. Please turn to Slide 7 for a summary of our second quarter results, which reflect the ongoing improvements in our operating earnings and liquidity. Consolidated revenues were $903 million, 9% better sequentially and 10% better year-on-year, driven primarily by 12% sequential increase in service revenues. Product revenues increased by 2% as our production oriented business products kept pace with energy output levels. The sequential improvement in performance was seen across all geo zones, except for Canada with seasonally lower activity. The second quarter topline performance primarily resulted from increased activity in integrated services and projects activity in Mexico, increased activity across all product lines in the Middle East and Asia and in the completion and production or C&P product lines in Europe, Sub-Saharan Africa and Russia. We are pleased to report second quarter positive operating income of $25 million. The operating income result was helped by approximately $10 million of discrete onetime credits and customers pulling forward contracted services.
Girish Saligram: Thanks, Keith. Our results in the second quarter were terrific, but we are firmly focused on the future and the work ahead of us. Turning to Slide 12; I want to provide you with an update on the four key focus areas for 2021. North America performance is an area that deserves acknowledgment this quarter, especially related to expanding margins. Despite the seasonal slowdown of activity in Canada, we saw an overall increase in North American revenues and margin. Moving on, variable cost management is gaining momentum as we continue to find opportunities to reduce our variable spend and are beginning to see positive impacts of that to our bottom line. We are focused on our maintenance and repair costs across our global network, labor utilization improvement, procurement efficiencies and other significant opportunities. Regarding organizational simplification, we have made meaningful progress aligning our Company's structure to market conditions. We believe that we still have opportunities for improvement as we should see our SG&A as a percentage of revenue continue to decrease over the coming years driven both by topline increase and further structural simplification. In the area of inventory rationalization, we again made incredible progress on our 2021 goal of improving days sales of inventory by 10 days as DSI improved sequentially by seven days. Our achievements from the second quarter serve as evidence of a strategy that is taking hold and beginning to yield results, specifically generating positive free cash flow, increasing EBITDA and growing revenue. We follow through on the plans we previously shared and this quarter is a testament to our ability to execute. Once again, I want to thank our employees for their determination in actualizing our goals. That said, success truly for us is a journey, not a destination. While we take enormous pride in our second quarter results, we recognize that we still have work to do to ensure that the improvements are institutionalized. It is through a process of learning, growing and improving that Weatherford will reach its full potential. Thank you for joining us today. And with that, operator, let's please open it up for Q&A.
Operator: Thank you. We will now begin the question-and-answer session.  Our first question comes from Ian Macpherson from Piper Sandler. Please go ahead.
Ian Macpherson: Good morning, Girish and Keith, and congratulations on the really strong quarter. Even if we, I wanted to ask for clarity on the beneficial one-offs that bridges from 15.5% to 14% margin for Q2 and then maybe just ask for a little color on what areas of the business surprise relative to the more conservative guidance for the quarter and where you think the sensitivities are for possibly better performance in the back half as well. I know that MPD sort of kicked off your qualitative discussion, but maybe other areas as well that you're excited about?
Keith Jennings: Okay. Good morning, Ian. Great questions. So, first the $10 million of one-time credits can be broken down into -- into two main parts. We had a workers' comp settlement that came into North America, large amount. And then secondly, we settled some lost in hole disputes with some customers that were above normal levels because these are still ongoing things, but it was a significant amount, and also some damage beyond repair amounts and so we thought it best to -- because those -- they go through revenues, the lost in hole and the damage beyond repair at 100% fall through. And so, we thought it best to exclude that from the baseline as we move forward.
Girish Saligram: Hi, Ian. Let me take a little bit on the second part and then Keith can join in. First of all, good morning and I appreciate your comments. Look, I think just in generally in terms of activity and what's happening, we've talked in the past again, we are planning for flat, but we have always said we are poised to take advantage of increased activity and that does give us higher fall through. So that's really a little bit of what -- what happened. Where we are seeing potential in the second half and we'll just sort of have to see how it fully translates. First of all, is some of the MPD stuff that we talked about and TRS. So, the core businesses that we have talked a lot about, managed pressure drilling, tubular running services, our intervention businesses with fishing and reentry and then cementation products, these are really businesses that we have market-leading positions in and as drilling campaigns take on greater hold as we see more production increases, we think they will give us an opportunity to gain some more share and give us potentially a little bit more lift. But we want to really be tempered on our focus because we still have a lot of operating elements that we need to address. So, we are firmly focused on that, but we are encouraged by the activity swings that we're seeing. From a geography perspective, as we mentioned, Middle East really continues to be probably the highest area of tendering activity as well as a couple of other regions internationally. We expect North America growth to taper off a little bit to a certain extent, but again seeing a general rebound, and just hope that the pace of vaccinations really keeps pace and the economy keeps opening up.
Ian Macpherson: That's great. Thank you, both. It sounds like just doing the math that if you're going to be at comparable 14% margins in Q3, your back half guidance probably puts you exiting the year closer to 15%, maybe between 14.5% and 15% margins in the fourth quarter according to plan, and I just wanted to sanity check that assumption. And then also just think about what the leverage for margins is into next year, assuming maybe excluding any possibility of net pricing leverage, but just sort of volumetric leverage to your margins going into next year based on, it seems like we've -- we've pulled forward that 15% ambition relative to what we were thinking earlier this year or so maybe just recast that trajectory if we could?
Keith Jennings: So, in terms of the exit at 14.5%, I think your assumptions and algorithm works. And that's where we are targeting to exit the year. In terms of fall through, it's hard to say as always, in terms of how we think about that. So, we think we've been seeing good fall through from the service side of the business, as we practice cost control beneath that, but all depends on how that new business comes. If it comes in certain geographies where we have to scale up, then the fall through mix is much different than if it comes in the geography where we already contracted and have people on the ground. So it's hard for us to give that viewpoint on 2022. So, at the moment, the way we are looking at 2022 is we are looking at it as a modest step-up from where we are going to exit second half of 2021. And so as we get closer to it, go through Q3 and get into Q4, we'll come back and give a better view of where the contracts are and what activities we are seeing for 2022.
Ian Macpherson: That's great. Thank you, Keith. Thanks, Girish. I'll pass it over.
Girish Saligram: Great. Thanks, Ian.
Operator:  Next question comes from Philipp Duffner from Aurelius. Please go ahead.
Philipp Duffner: I've got two questions. One was on the North America sequential growth. So, in comparison to your main competitors, I know it was relatively weak and you were probably stronger in the international markets. In North America, is that because you're overexposed to Canada in comparison to the big three or is there another explanation for that?
Keith Jennings: Yes, Philipp. First of all, thanks for joining. It's a couple of things. We've talked a lot about North America previously and it's very important to note that our business is fairly significantly different from our overall portfolio as well as with some of our peers and competitors. Over the past year or so, we've really changed our profile in North America and we are no longer playing in drilling services in the US, which is a very significant part of the portfolio for a lot of people. We have completely gotten out of the frac business, so that's not a part of the portfolio, and we have changed our business model on wireline fairly significantly as well. So these businesses that really -- are product lines that really come in with an increase in rig count and immediate drilling we don't play a part in. So, that's part of the, or a big part of why you see a fundamental difference in our growth rates. Separately, we've also talked about for us in North America, we are very focused on really making sure that we are not just chasing volume. We have an operational set of actions we are working through. We are seeing that margin improvement come through as a result and are really going after growth that fall through to the bottom line.
Girish Saligram: And you are actually very right on our exposure to Canada. So for our business, we did take a step down from Q1 to Q2 because of the seasonal breakup in the weather, and so that affected and blunted some of the growth that we did see in the underlying US business and brought the average down.
Philipp Duffner: Got it, thank you. And my second question is on the CapEx. If I recollect, you probably performed better on CapEx in H1 than what you were guiding to and obviously, you are right now guiding to a very substantial pick up in CapEx in H2. You mentioned some of the reasons for that, but could you just maybe go through that in some more detail why there will be a pickup and why we are so low in the first half, and is there a potential to outperform that guidance?
Keith Jennings: I would say that the first half was as we described it. We focused on redeploying assets. We focused on asset utilization and we were spending a fair bit of time looking at re-prioritizing our growth CapEx agenda. So, Girish and I have been here now almost a year, and so it took us a while to understand the business a fair bit in terms of where we want to place our bets. And so we are harvesting some efficiencies, but as we go forward into Q3 and Q4, now we're going to put some growth CapEx back to work, into primarily behind our market leading product lines. We also have more activity out there and also as you think about it, for example, product lines like wireline, right, there are new standards in the marketplace where you have to have tools that are of a certain age before they go down-hole and so forth. And so that's going to require CapEx. So, if you think about how we -- we talked about CapEx in the past quarters, we talked about it being somewhere in the range of 3% to 7%. So, we printed only $9 million in Q2 on $900 million of revenue, that's one, that's reasonably low. But we were going through a re-racking. So, I would say that over the ramp up of this cycle, you could probably see us move back towards 3%. I would not say we'd get to $7 million, but it all depends on what happens in the business.
Philipp Duffner: Thank you. And then, maybe just one last question on the capital structure. Is there any update on the ABL discussions ?
Girish Saligram: Sure. I can say that the tone in the marketplace has improved. I think if you look at the trading of our bonds, we've been trading all the way up to 105, implying improving yields, that reflecting the improvements in our businesses. I think if we think of the dialog we've been having with the banks, I think they have been a lot more constructive and so at this point in time, we're going to continue those dialogs and then kind of figure out where we go from here. The market I think has also opened up on the debt market side, and so we're thinking about what's the holistic solution that we could do in terms of putting an ABL back and does that open up an opportunity to maybe refinance or address the tower in 2024. So, all these things are in dialog and as soon as we have a direction or a decision, we will come back and communicate to the Street.
Philipp Duffner: Thank you. That's it from me.
Operator:  There are no more questions in the queue. This concludes our question-and-answer session. I'd like to turn the conference back over to management for any closing remarks.
Mohammed Topiwala: Great. Hi, thanks everyone for joining and I look forward to speaking to you again in a quarter. Thank you.
Girish Saligram: Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.